Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Third Quarter Earnings Release for The Buckle. Members of The Buckle's management on call today are Dennis Nelson, President and CEO; Karen Rhoads, Senior Vice President of Finance and CFO; Pat Whisler, Senior Vice President, Women's Merchandising; Bob Carlberg, Senior Vice President, Men's Merchandising; Kyle Hanson, Vice President, General Counsel and Corporate Secretary; Tom Heacock, Treasurer and Corporate Controller.
 As they review the operating results for the third quarter which ended November 1, they would like to reiterate their policy of not giving future sales or earnings guidance and have the following Safe Harbor statement: All forward-looking statements made by the company involve material risks and uncertainties and are subject to change based on factors which may be beyond the company's control. Accordingly, the company's future performance and financial results may differ materially from those expressed or implied in any such forward-looking statements. Such factors include, but are not limited to, those described in the company's filings with the Securities and Exchange Commission. The company does not undertake to publicly update or revise any forward-looking statements even if experience or future changes make it clear that any projected results expressed or implied therein will not be realized.
 Additionally, the company does not authorize the reproduction or dissemination of transcripts or audio recordings of the company's quarterly conference calls without its expressed written consent. Any unauthorized reproductions or recordings of the calls should not be relied on as the information may be inaccurate.
 I now like to turn the conference over to Ms. Karen Rhoads. 
Karen Rhoads: Thank you. Good morning, everyone. Thanks for joining the call.
 Our November 20, 2014, press release reported that our net income for the 13-week third quarter that ended November 1, 2014, was $40.6 million or $0.84 per share on a diluted basis, and that's compared with the same $40.6 million a year ago or $0.85 per share on a diluted basis, for the prior year 13-week quarter that ended November 2, 2013.
 Year-to-date, our net income for the 39-week period ended November 1, 2014, was $102.4 million or $2.13 per share on a diluted basis, compared to net income of $103.3 million or $2.15 per share on a diluted basis, for the prior year 39-week period that ended November 2, 2013.
 Net sales for the 13-week third quarter increased 1.9% to $292.2 million compared to net sales of $286.8 million for the prior year 13-week third quarter. Comparable store sales for the quarter were down 0.3% in comparison to the same 13-week period in the prior year, and our online sales, which are not included in comparable store sales, increased 3.8% to $22.8 million.
 Net sales for the 39-week year-to-date period increased 1.3% to $799.6 million compared to net sales of $789 million for the same period in the prior year. Comparable store sales for the year-to-date period were down 0.5% in comparison to the same 39-week period in the prior year, and online sales, which again are not included in our comparable store sales, increased 2.8% to $61.4 million.
 Gross margin for the quarter was 43.7%, down approximately 30 basis points from 44.0% for the third quarter last year. The decrease was driven by deleveraged occupancy, buying and distribution expenses resulting from the comparable store sales decline. Merchandise margins for the quarter were essentially flat.
 For the year-to-date period, gross margin was 42.5%, down approximately 30 basis points from 42.8% for the same period last year. The decrease was driven, again, by deleveraged occupancy, buying and distribution expenses resulting from the comparable store sales decline, and our merchandise margins year-to-date are also essentially flat.
 Selling expense for the quarter was 18.1% of net sales, even with 18.1% of net sales for the third quarter of fiscal 2013. An increase in store payroll expense was partially offset by reduction, as a percentage of net sales, in expense related to the incentive bonus accrual and certain other selling expenses. For the year-to-date period, selling expense was 18.4% of net sales compared to 18.3% for the same period in fiscal 2013.
 Increases in store payroll expense and certain other selling expenses were partially offset by a reduction, as a percentage of net sales, in expense related to the incentive bonus accrual.
 Our general and administrative expenses for the quarter were 3.5% of net sales compared to 3.6% for the third quarter of fiscal 2013 with the decline primarily attributable to a reduction in equity compensation expense.
 For the year-to-date period, general and administrative expenses were 3.8% of net sales compared to 3.9% for the same period in fiscal 2013, again, with the decline primarily attributable to a reduction in our equity compensation expense.
 Our operating margin for the quarter was 22.1% compared to 22.3% for the third quarter of fiscal 2013. For the year-to-date period, our operating margin was 20.3% compared to 20.6% for the same period last year. Other income for the quarter was $226,000 compared to $361,000 for the third quarter of fiscal 2013, and other income for the year-to-date period was $831,000 compared to $1.2 million last year.
 Income tax expense as a percentage of pretax net income was 37.3% for the third quarter of fiscal 2014, and that is compared to 37.0% in the third quarter of fiscal 2013, bringing third quarter net income to $40.6 million for fiscal 2014 compared to $40.6 million for fiscal 2013.
 Year-to-date, our income tax expense was also 37.3% of pretax net income for fiscal 2014 and 37.0% for fiscal 2013, bringing year-to-date net income to $102.4 million for fiscal 2014 compared to $103.3 million for fiscal 2013.
 Our press release also included a balance sheet as of November 1, 2014, which included the following: inventory of $147.2 million, which was up slightly from inventory of $146.3 million at the end of the third quarter of fiscal 2013; and total cash and investments of $252.4 million, which compares to $228.5 million at the end of fiscal 2013 and also compares to $195.6 million at the same time a year ago.
 As of the end of the quarter, inventory, on a comparable store basis, was down approximately 1.5% compared to the same time a year ago, and total markdown inventory was down compared to the end of the third quarter last year. We also ended the quarter with $171.3 million in fixed assets net of accumulated depreciation.
 Our capital expenditures for the quarter were $13.6 million, and depreciation expense was $7.8 million. For the year-to-date period, capital expenditures were $36.3 million, and depreciation expense was $23.3 million. 
 Year-to-date, our capital spending is broken down as follows: $26.2 million for new-store constructions, store remodels and store technology upgrade; and $10.1 million for capital spending at the corporate headquarters and distribution center.
 We still expect our fiscal 2014 capital expenditures to be in the range of $48 million to $53 million, which includes primarily new-store and store remodeling projects, IT investments and the construction of a new office building as part of our home office campus in Kearney, Nebraska.
 For the quarter, UPTs increased approximately 2.0%. The average transaction value increased 5.0%, and the average unit retail increased approximately 2.5%. For the year-to-date period, UPTs increased approximately 2.5%, the average transaction value increased 3.5%, and the average unit retail increased approximately 1.0%.
 Buckle ended the quarter with 461 retail stores in 44 states, and that is compared to 452 stores in 43 states at the end of the third quarter of fiscal 2013. Additionally, our total square footage was 2.332 million square feet as of the end of the quarter compared to 2.273 million square feet at the same time a year ago.
 And at this time, I'd like to turn the call over to Tom Heacock, our Treasurer and Corporate Controller. 
Thomas Heacock: Good morning, and thanks for joining us this morning. I'd like to start by highlighting the performance from our various merchandise categories that led to our 1.9% net sales increase for the quarter.
 Men's merchandise sales for the quarter were up approximately 8% with strong categories including denim and casual bottoms, knit shirts, shorts, outerwear, and accessories. Average denim price point increased from $88.70 in the third quarter of fiscal 2013 to $91.95 in the third quarter of fiscal 2014.
 For the quarter, our men's business was approximately 41.5% of sales compared to approximately 39% last year, and our average men's price point increased slightly from $57.35 to $57.60.
 Women's merchandise sales for the quarter were down approximately 1.5% with strong categories including casual bottoms, woven and knit tops, sweaters, active apparel, outerwear, and footwear. Average denim price point increased from $98.25 in the third quarter of fiscal 2013 to $98.80 in the third quarter of fiscal 2014.
 For the quarter, our women's business was approximately 58.5% of net sales compared to approximately 61% last year, and our average women's price point increased approximately 2% from $50.75 to $51.80. 
 For the quarter, combined accessory sales were up approximately 3%, and combined footwear sales were up approximately 5.5%. These 2 categories accounted for approximately 8.5% and 6%, respectively, of third quarter net sales, which compares to approximately 8% and 6% for each in the third quarter of last year. Average accessory price points were up approximately 4%, and average footwear price points were up approximately 13%.
 For the quarter, denim accounted for approximately 46.5% of sales, and tops accounted for approximately 31%, which compares to 48.5% and 30.5% for each in the third quarter of last year.
 Our private label business was essentially flat as a percentage of net sales for the quarter and represented approximately 35% of sales.
 During the quarter, we opened 5 new stores and completed 8 substantial remodels. As of the end of the quarter, 365 of our 461 stores were in our newest format.
 We also opened 2 additional new stores and completed 1 full remodel during the second week of fiscal November, which puts us at 16 new stores and 18 substantial remodels in total for fiscal 2014. Current plans for next year include approximately 6 new stores and 10 substantial remodels.
 And with that, we'll open it up to your questions. 
Operator: [Operator Instructions] Our first question comes from the line of Paul Alexander of BB&T Capital Markets. 
Paul Alexander: Dennis, could you talk a little bit about your philosophy on e-commerce versus stores? We know you've really focused mainly on stores in order to leverage your salespeople and their relationship with the customer. But as e-commerce continues to become more mainstream, do you think you're going to need to step up investment in that online platform in order to serve your customers, keep up with competitors and tap into that secular shift? 
Dennis Nelson: Well, we continue to look at new marketing and upgrading our staff and taking different approaches, so it is something we are not ignoring. We involve the merchandise teams continually more on that, so we would expect it to continue to have steady growth, and we have taken an approach that it's part of our business. We do a lot of special orders where the guest can pick up in-store on the specials with no freight charge and such that way, and we have a lot of guests that take advantage of that. So I think our -- as a part of our strategy, it is still very good and would expect it to continue to grow. 
Paul Alexander: Just a follow-up on this theme. On your upcoming app, can you give us any more detail on that, how you're developing the app, what the time line looks for -- looks like for its release and what kind of features it'll have? 
Dennis Nelson: Kyle, do you want to address that? 
Kyle Hanson: Sure. Yes, we have consistently upgraded our mobile experience. And with respect to an app, specifically, we don't have any time frame for a launch in an app. But we are definitely listening to our guests and making sure that whatever we would launch would show the product and different features and services that our guests want. 
Operator: Our next question comes from the line of Steve Marotta of CL King & Associates. 
Steven Marotta: Has the West Coast ports slowdown interfered at all with inventory shipments in the last few weeks? 
Dennis Nelson: Steve, this is Dennis. The ports have had just minor effect on our inventory flow on some of the shipments, maybe a week, 10 days. But overall, our flow has been very good, and a couple of our promotions -- gift with purchase promotions might be delayed a couple days on this month. But overall, we are in good shape at this point. 
Steven Marotta: Okay. And one other question is -- pertains to specifically to women's denim. It's been relatively soft multiple quarters in a row. How would you assess the women's denim market? And is it yoga pants that's having a very large impact there? What's your view of women's denim weakness and when it may turn around? 
Dennis Nelson: Well, the ladies' denim has been soft. I think the knit pants and activewear has had an effect on it, but it had such humongous growth for us over the last 10 years that it's still a very good business. We continue to add different vendors, but we have a lot of different fits, finishes and ideas that we're working with, so it's still a good business for us. 
Steven Marotta: And what's the percent of sales roughly currently as a consolidated total -- women's denim? 
Dennis Nelson: Tom or Karen, do you have that number? 
Thomas Heacock: In total, it's about 46.5%, which is down a couple of percent. I don't know that I have... 
Karen Rhoads: Total denim. 
Thomas Heacock: Total denim, men's and women's. I don't know if I have the -- what percentage of that is women's. 
Karen Rhoads: And women's is the larger piece of the 2. 
Operator: [Operator Instructions] The next question comes from Alexander Gampel [ph] of SIG. 
Thomas Filandro: It's actually Tom Filandro. Dennis, can you give us an update on the -- I'm curious about the kids' business. I mean, it looks like you're starting to get more aggressive there. Can you tell us what's happening in girls', what's happening in boys', and how you see that business rolling out going into the balance of this year and into next year, please? 
Dennis Nelson: We've got a nice presentation for holiday. It continues to grow nicely but is still, overall, very small part of our business. I believe in the boys', Bob, you've added, what, up to -- some Ts and stuff up to 250 stores. Is that right? 
Robert Carlberg: For holiday, yes, that's correct. 
Dennis Nelson: Okay. In the ladies, we have the little girls' denim in all stores. And right now, we have tops in 150 stores. Pat, is that correct? 
Patricia Whisler: Yes, it's about 150 stores for holiday. 
Dennis Nelson: Yes, and I think we're adding that for -- we'll be adding more tops for the little gals as we get into back-to-school next year. So we're happy with the business but continuing to grow it and trying to be smart about it. 
Thomas Filandro: And let me follow up. I apologize, I got on late. So if you answered this question, I do apologize. Can you just give us an update on the private label performance for the quarter? And then also, I don't know if you mentioned this, any update on the loyalty program? Are you getting to the point where it's a digital program through the POS system? 
Dennis Nelson: Yes. On the private label, it's still about 35% of our business, so we're very pleased with that. And we have it at different levels in all categories, so that's been good. And Karen, do you have anything on the CRM? 
Karen Rhoads: On the CRM, our IT team continues to work with our third-party provider on developing that system and anticipate testing in first quarter of 2015. 
Operator: And at this point, we have no further questions in queue. 
Karen Rhoads: All right. Well, at this time then, we would like to thank everyone for joining the call today, and we wish everyone a great day. 
Dennis Nelson: Thank you. 
Operator: Thank you. Ladies and gentlemen, this concludes the conference here for today, and we do thank you for your participation and using AT&T. You may now disconnect.